Company Representatives: Josh James - Founder, Chief Executive Officer Bruce Felt - Chief Financial Officer Julie Kehoe - Chief Communications Officer Peter Lowry - Vice President of Investor Relations
Operator: Welcome to Domo, Third Quarter FY ‘20 Earnings Conference Call.  And with that, I’ll hand it over to Peter Lowry, Domo's Vice President of Investor Relations. 
Peter Lowry : Good afternoon and welcome. On the call today we have Josh James, our Founder and CEO; Bruce Felt, our CFO; and Julie Kehoe, our Chief Communications Officer.  Julie will lead off with the safe harbor statements and then on to the call. Julie?
Julie Kehoe: Thanks Pete. Our press release was issued after the market closed and is posted in the Investor Relations section of our website, where this call is also being webcast. Statements made on this call include forward-looking statements related to our business under federal securities laws, including statements about financial projections, the plans and expectations for our go-to-market strategy, our expectations for our sales and new business initiatives and our financial condition. These statements are subject to a variety of risks, uncertainties and assumptions.  For a discussion of these risks and uncertainties, please refer to documents we filed with the SEC, in particular today's press release and our most recently filed Annual Report on Form 10-K and our most recent filed Quarterly Report on Form 10-Q. These documents contain and identify important risk factors and other information that may cause our actual results to differ materially from those contained in our forward-looking statements. In addition, during today's call we will discuss non-GAAP financial measures, which we believe are useful as supplemental measures of Domo's performance. Other than revenue unless otherwise stated, we will be discussing our results of operations on a non-GAAP basis. These non-GAAP measures should be considered in addition to and not as a substitute for or in isolation from GAAP results. Please refer to the tables in our earnings press release for a reconciliation of our non-GAAP financial measures to the most directly comparable GAAP measure. With that, let me hand it over to Josh. Josh?
Josh James: Thank you, Julie. Hello everyone and thanks for joining us on the call today. Well, I'm excited to report that in Q3 we posted a 24% increase in subscription revenue, a 22% year-over-year increase in total revenue and a better-than-expected increase in billings and cash flow. These results were driven by solid core sales execution, including closing large enterprise deals.  We closed six deals within an ACV greater than $500,000, two of which had an ACV of over $1 million dollars. Three were in our top five largest new logo deals in company history. I will talk more about some of these wins in a minute, but as the large deals in the Q2 pipeline that didn't close in Q2, we closed five or about half of them in Q3, and the others remain in the pipeline. We did not lose any of the large deals that slipped from Q2 to the competition; they just are having a longer sales cycle.  I'm very pleased that we are once again able to make meaningful progress on reducing our cash burn. Coming in ahead of our guidance, we remain committed to achieving a cash-flow positive position with the cash in our balance sheet. Another bright spot of Q3 was our gross retention rate of approximately 90% and above 90% for our Enterprise segment. In fact well above 90%.  As our customers use our products in more strategic ways and continue to commit to more multiyear deals, we believe we have an opportunity to achieve even higher renewal rates. We haven't seen any adverse changes in the competitive environment and we believe we continue to have a unique position in the market.  Customers consistently refer to the value of Domo’s business cloud as being the quickest, easiest and most secure way to drive their business with data. They rely on Domo to connect hundreds and thousands of data sources and turning them from dark data into actionable data, where insights are brought to people who never had access before. We really do provide BI leverage at cloud scale in record time.  Customer feedback on our new platform pricing model continues to be positive, and we think this will help to land and expand business with new and existing customers. Our corporate business continues to be steady. We made incremental investments there and are encouraged by our corporate divisions, enterprise like retention and the pipeline headed into Q4.  As we look to our overall business, it is growing well, but we believe it can grow even faster. To that end we decided to promote Ian Tickle, who has served as SVP & GM of EMEA for the last 3.5 years to Chief Revenue Officer. Accordingly Dean Germeyer, our current CRO will be transitioning out this quarter.  Ian has demonstrated an ability to rapidly and successfully grow our business in EMEA, particularly through large enterprise deals. We believe Ian will be an additional accelerant to the other growth initiatives that we put in place. Ian has already moved and settled to the U.S. and is operating from our Domo headquarters. He's respected by all the sales leadership and is actively managing the day-to-day sales operations. For those of you who don't know Ian, before joining Domo he managed a much larger organization for Oracle's Cloud business. He joined Oracle from RightNow, an enterprise CRM provider, where he served as VP of EMEA.  With this change, we'd like to thank Dean for his contributions. While he was here we were able to improve customer retention and our client services motion, as well as make strong hires to the team, in particular Pam Marion our Chief Customer Success Officer, and Jim Kowalski, our GM of North America Enterprise.  Next, I'll provide some color on the large deals we closed, but before I do, let me comment that I am thrilled with our enterprise execution in Q3. We remain very focused on the enterprise opportunity and are continuing to add resources against it. We have a platform that can provide business users the information they need at scale, and we can capture the most value by successfully marketing to the enterprise segment.  As we've seen in the last few quarters, large enterprise sales cycles can cause some variability in our quarterly results, but our continued focus on enterprise is working as demonstrated by the large deals we did close this quarter. Creating more predictable enterprise new business remains a priority.  The first deal that I would like to highlight is a new logo transaction with Swire Coca-Cola. Swire is a $2 billion revenue business with more than 7,000 associates and is a producer, seller and distributor of Coca-Cola and other beverages to more than 60,000 retail locations across 13 states.  We think this win highlights the value of our POCs or Proof-of-Concepts in demonstrating the power of Domo. Swire engaged in a quick POC to demonstrate how Domo could meet the needs of its executive team and getting better insights through data from multiple sources. After seeing the rapid time-to-value they chose Domo to help their managers’ better serve their selling region, associates and business relationships more effectively. This proves again that Domo can deliver BI leverage at cloud scale in record time.  Second, this quarter we closed two aftermarket auto-parts companies, both new logo deals of over $500,000 in ARR. These companies used Domo to monitor the real-time performance of the retail operations, measuring against daily, weekly and monthly objectives for sales and service. The last new logo customer I’d like to highlight is a deal with a very large, very large technology and media conglomerate. This was one of the largest annual, seven-figure, new-logo deals in company history. This company selected Domo for our ability to scale and share data with their community consisting of tens of thousands of partners. While this customer had legacy data tools, none could provide the scale and flexibility of our platform and our Domo Everywhere Solution, once again proving that Domo can deliver BI leverage at cloud scale in record time.  In addition to adding large new logo accounts, we are encouraged by the value customers are receiving as they use our products, evidenced by additional upsells and expansions. One of these customer examples is the world's largest cosmetics and beauty company, L'Oreal. Others include UnitedHealth Group, a Fortune 10 diversified healthcare company, which continues to expand its use of Domo, as well as Pep Boys, one of the largest aftermarket, auto parts and services companies.  Last quarter we outlined three initiatives to land new customers more quickly, while at the same time working to close larger transactions. These initiatives are expanding our partnerships with a focus on facilitating our go-to-market, which helps us with new logos and also with big upsells, to focused and repeatable sales plays which also helps with new logos and expansion and increased focus on free trials and rapid PLCs, which is primarily focused on new logos.  First, let me provide an update on our partnership initiatives that we believe can significantly enhance the efficiency and effectiveness of our go-to-market. We are uniquely positioned as a partner of choice to a wide variety of application and infrastructure providers for several reasons.  One reason is our ability to quickly, easily and securely deliver data into the hands of business users at scale and help partners deliver new value to their customers. An example of this is our recently announced partnership with Square. Domo for Square is a new application which empowers merchants with multiple Square accounts to easily unlocked real-time business insights and value from their Square data.  Another reason is Demo’s unique ability to work with data no matter where it lives or where customers prefer to host their data, such as AWS, Azure or GCP. Our native collection of more than 1000 pre-built connectors helps customers achieve time-to-value at a speed that differentiates us from other solutions.  The reason this matters is because it allows any line of business to automate their business processes. For cloud partners, Domo’s Integration Platform as a Service or iPaaS capabilities are an attractive solution to help their customers pipe more data into their respective clouds. An example of this is our recently announced partnership with Snowflake. Through this partnership customers can use Dome to manage their data ecosystem and bring more data into Snowflake’s cloud data warehouse.  Our third reason is our ability to help partners increase the value they deliver to their customers by providing more leverage from the data in their systems. One example is our partnership with Verizon and AWS that we announced this week at AWS Reinvent. It delivers an end-to-end asset tracking solution for massive amounts of IoT data. Together, we allow customers to attract critical assets such as trucks and shipping containers, to get a comprehensive view of location and other conditions like temperature, payload, contents, etcetera.  Our second initiative to facilitate our go-to-market is focused repeatable sales plays, which are progressing quite well. We've developed new content, more focused messaging and specific sales plans and fine-tune them through a pilot program. While this program is just being rolled out to a broader segment of our sales team, we are encouraged by the activity and meaningful customer conversations they are creating.  Our last initiative is our increased focus on free trials and rapid proof-of-concepts. We continue to see that customers who actively use our product while in our sales pipeline buy Domo at a significantly higher rate than those who haven't. We've recently introduced new product features to get more users into the product and increase their usage of Domo in a quicker, more scalable way.  Early indications are showing improved engagement, which we expect may lead to higher conversion rates. I love our use of POCs, because it demonstrates to the customer how we deliver BI leverage at cloud scale and record time.  I'm proud of our team for the innovation they keep delivering and their unwavering focus on customer success. I'm excited to see 24% subscription revenue growth and expect more in the future. At the same time, I love seeing our continued progression towards cash flow breakeven. We're standing with an incomparable product, that provides BI leverage at cloud scale in record time, and I'm excited by our financial results and the growth to follow as we are better positioned than ever to execute.  And with that, I’ll turn it over to Bruce. Bruce. 
Bruce Felt : Thank you, Josh. We're pleased to deliver Q3 that exceeded all of our guided metrics. Let me now review the quarter's performance, followed by providing fourth quarter and fiscal 2020 full-year guidance.  As Josh mentioned, our strong Q3 was driven by solid sales execution, including closing large enterprise deals. We are pleased to see a significant increase in enterprise average deal sizes and in enterprise sales force productivity. We also saw an increase in our enterprise net revenue retention rate from last quarter, which continues to be over 100% for all groups.  We are improving visibility in our business through growth and recurring revenue, improved retention rates, and more multiyear contracts. Our subscription revenue grew 24% year-over-year driven by an improved mix of new subscription versus services revenue and by improving retention rates. Our gross retention rate was approximately 90% and above 90% for our Enterprise segment.  We now have the majority, over 52% of our customers under multiyear contracts at the end of Q3, compared to 39% at the end of Q3 last year. This drove our remaining performance obligations or RPO to grow 25% compared to the same quarter last year. Remaining performance obligations includes billed and unbilled revenue under contract that has yet to be recognized.  Q3 revenue was $44.8 million, a year-over-year increase of 22%, subscription revenue represented 85% of total revenue, international revenue in the quarter represented 24% of total revenue compared to 26% in Q2, primarily because of the strong North America performance. Our subscription gross margin was 76.5%, up more than three percentage points from 73.3% in Q3 of last year. We planned to obtain additional leverage out of our subscription cost of revenue over time, as we continue to effectively manage our datacenter operations through finding efficiencies, better utilizing certain services and continuing to optimize our software that runs the Domo platform. We believe we can get subscription gross margins to over 80% in the long term.  Including our services business, total gross margin was 68.3%, a 310 basis point improvement compared to 65.2% in the third quarter of last year. In Q3 operating expenses increased by just 5% from last year, even though revenue increased by 22% year-over-year. The net effect of increased revenue while effectively managing costs allowed us to improve our operating margin by 21 percentage points from the same quarter last year.  Our net loss was $23.6 million and net loss per share was $0.85. This is based on $27.6 million weighted average shares outstanding basic and diluted.  Turning now to our balance sheet, as of October 31 we had cash, cash equivalents and short-term investments of approximately $116 million, an amount we believe is more than sufficient to allow us to achieve a cash flow positive position.  Our adjusted net cash used in operations was $16.2 million, an improvement of $2.5 million over the prior quarter and a 47% reduction compared to Q3 of the prior year. Adjusted cash flow from operations excludes 3.3 million of share purchases in Q3 under our employee stock purchase plan. The amount is included as a positive amount in our GAAP cash flow from financing section of our cash flow statement and an offsetting negative amount in our GAAP cash flow from operations section with no net effect on our cash balance.  Now to discuss what we expect in Q4 and fiscal year ’20. We expect Q4 billings of approximately $57 million. We are raising our fiscal ‘20 billings guidance to be approximately $181 million. We're planning on our Q4 operating expenses to be up from Q3. For the year, we still expect our operating expenses to be down slightly from fiscal year ‘19. We expect Q4 adjusted cash used in operations of approximately $16 million and are improving our full-year guidance to approximately $73 million.  Now, the formal guidance. For the fourth quarter of fiscal year ‘20 we expect GAAP revenue to be in the range of $45 million to $46 million. We expect non-GAAP net loss per share basic and diluted of $0.94 to $0.98. This assumes 28.1 million weighted average shares outstanding basic and diluted.  For the full year fiscal ‘20 we now expect GAAP revenue to be in the range of $172.2 million to $173.2 million, representing year-over-year growth of 21% to 22%. We expect non-GAAP net loss per share, basic and diluted $3.80 to $3.92. This assumes 27.5 million weighted average shares outstanding basic and diluted. In closing, we're pleased we exceeded the guidance we gave for all of our Q3 metrics. We believe we are well-positioned to deliver against our Q4 guidance and will continue to push on all the new business initiatives to put us in a strong position as we go into the next fiscal year.  With that, we'll open up the call for questions. Operator, please open the call for questions. 
Operator: [Operator Instructions] Our first question comes from the line of Sanjit Singh from Morgan Stanley. Your line is open. 
Sanjit Singh: Thank you for taking the questions and congrats Josh and Bruce for a really nice quarter. I wanted to get a sense of how the quarter progressed from your perspective Josh. Was it more about closing those, half of those ten deals that led to the upside in the quarter? How did you see that balance of both closing, you know closing the sub-deals, as well as sort of growing the overall pipeline, how did that trend this quarter? 
Josh James: Yeah, everything is trending pretty well and nicely. I think in almost all of our different geographies and different sections of our business and so we saw a nice growth in enterprise from new deals that weren't expected to close in Q2 and then obviously also the ones that did close that we expected to close in Q2, close in Q3, that gave us some of the upside that we saw in the numbers. 
Sanjit Singh: And then as a follow-up, I know last quarter you noted the priority for POCs and just sort of reinvigorating that commercial traction and driving higher investments in that segment of the business. Where are we in terms of getting the commercial sales team to drive some of these newer playbooks on the POC initiatives and how long do you think it will take before commercial actually starts to become a material driver of growth. 
Josh James: Well, I think right now it's about equal in terms of the size of business that we have in our corporate business and then the enterprise business and they are both growing well. We think there is certainly more upside in the enterprise business, which is the focus from the executives and the product in some of the sales plays that we're putting into place.  If you look at our enterprise business, we actually have enough enterprise logos to grow for quite some time by just going into those accounts where we have starts at relationships and upselling them, and so that's certainly a big focus and we think probably the outsized opportunity for our business.  But corporate is growing and growing well and continues to perform, and as we said before, Jeff Skousen and his team, they do a great job for us and they are continuing to grow their business and like we mentioned in the prepared remarks as well, the business there is multiyear business. You know more than half of our contracts now across your business are multiyear relationships with our customers, and we're seeing very interest in relationships with enterprise like retention as well, so both businesses are good businesses for us. 
Sanjit Singh: Great, makes a ton of sense. Thank you, Josh.
Josh James: Thank you. 
Operator: Our next question comes from the line of Pat Walravens from JMP Securities. Your line is open.
Pat Walravens: Oh great! Thank you, and congratulations you guys. Hey Josh, let me ask sort of big picture and forgive the background noise. What do you feel like is the biggest thing that your organization has learned over the last couple of quarters, and what do you feel is sort of the biggest thing that they still need to learn? And then Bruce I have one for you after. 
Josh James: The biggest thing that we've learned is that this is a product that definitely meets the needs of big enterprises, and we're seeing big customers and you know we have good enough relationships with them that they are letting us talk about their names in our earnings transcripts. And so these customers that have been with us are buying more and more product from us and as they bring us more opportunities and needs for solutions inside the organization and realize we can meet those needs, I think it's been really rewarding and exciting for everyone here internally to see. We actually really do have something that's very unique and we get them providing a solution for the customer. They are really excited and we know that no one else can do some of these things that we are doing for our customers.  So it really is fun to provide that leverage, that leverage to the business intelligence investments that they've made and really be able to do it at that scale that we have, that you can see in the cloud and the thing we hear consistently from them over and over again, is that it's we can do it at record time. Something that normal would've taken six months, we can do in weeks, some of that would've taken weeks, we can do in minutes or second. So I think that's the thing that's exciting for us right now.
Pat Walravens: And Bruce can you give us some perspective or what else can you give us about how we should think about next year and when you might hit cash-flow positive? 
Bruce Felt: Well, we will address next year on the Q4 call. So nothing really to be said you know right now about next year other than we're doing a lot of things right now. All these initiatives that Josh brought up, making sure we have enough feet in the street, you know being more – even more articulate on the value proposition that we think just will help us next year. So yeah, I can't give you any guidance on that yet and the second part of your question? 
Josh James: But we appreciate the question. 
Bruce Felt: Yeah.
Pat Walravens: The second part was do you guys want to tell us when you're going to be cash flow positive or are we still waiting? 
Bruce Felt: We do not want to tell, and it's not because we aren't certain that we will get there. It's just, we think that providing the date today is really not the right time to do it, and part of the driver for that and it will continue to be a driver, so this will be an ongoing discussion of what if the business actually does what we think is possible here? And what if we believe we need to be more aggressive in pursuing the business; however, without jeopardizing our commitment that we can still get to cash flow positive and cash flow positive position with the cash we have in the bank.  But I think this will be a decision we make every quarter, because as more time goes on and as we hopefully have performance like we just had, it becomes more and more obvious that we can easily get to that point, the positive point and then I think what we are comfortable saying today is we think we even have cushion that we're building as we do this, but to give you a date, I think just the dialogue we're going to have every quarter and the decision we're going to have to make every quarter. 
Pat Walravens: Okay, great, and congrats again. 
Josh James: Thanks a lot. 
Operator: Our next question comes from the line of Derrick Wood with Cowen and Co., Your line is open.
Derrick Wood: Thanks, and nice job guys! I guess I wanted to ask on the Q4 billings and I guess it's roughly flat year-on-year and obviously you're coming off a big quarter with lots of deals, but maybe drilling in the pipeline, there is still five of those 10 larger deals that sounds like they are in the pipeline. How are you feeling about close rates on those and just how are you feeling about making sure your refilling that pipeline? 
Bruce Felt: Yes so, I think that – so we've been spending a lot of time on pipeline build. We have all these new initiatives that are really targeted at building higher customer count. Building the customer base, more lands so that we can expand, so – and at the same time you know extremely rigorous and the definitions and the stages and even more rigor on all the analytics behind it. And you put all that together and the pipeline does continue to build and not only does it continue to build, but we think that the quality of the pipeline is very strong.  And then on the big deals, you know we stated last quarter that they are there, we know they are there with current customers in many cases. Well, in all cases those are the ones that slipped last quarter. They continue to progress. What ends up happening is, because they are large and complex and we're providing you know solutions that are frankly one of a kind for some of the largest institutions in the world, they go through many approvals, many reviews, sometimes dozens of groups are interested in what we're doing and that makes it very unpredictable, but you know they are still there.  So we want to continue to nurture them, because eventually they will close. We're highly confident of that. What I liked about this quarter was not only did the carryover deals from Q2 close, they closed early in the quarter, and not only did that happen, but new deals came and closed on time and in some cases and a couple of cases ahead of time, so that's really promising for us.  It's still unpredictable because that's the nature of big deals. We're still building pipeline, they are at a size that are new for us. So I think in the short run we have to still continue to be cautious on what we should expect you know out of the enterprise business and certainly out of the big deals.  But in the long run everything seems to be pointing in the right direction, and we think more and more good things ought to happen to us given all the initiatives that we have and we never really touched much about it in the script. But the competitive environment is we think getting better for us given the transactions we've seen in this space, given how unique our offering is, given the obvious need in the market for what we have and frankly given the ability to do things that have just never been done in data before.  So from a competitive point of view, we feel really, really good. That's why in the end, you know that was why we are looking forward to the future quarters and years, because we think this will just play out in a very positive way for us and everybody that's invested in us. 
Derrick Wood: Great color Bruce, and Josh you guys signed a technology and a joint go-to-market partnership with Snowflake. Could you just shed a little bit more light on that partnership and maybe how it can help you from both a customer value standpoint and maybe even from a sales distribution standpoint? 
Josh James: Yeah and we've got Jay Heglar who is our Chief Business Officer and manages our ecosystem partners. So I'll let him add into that, but I'll just preface it by saying, we're definitely excited about the progress we're making in the ecosystem since Jay and his team have been really focused on it and we don't see it in the numbers yet, but there's a lot of encouraging signs and we're not prettiest girl on the dance floor yet, but we're definitely answering a lot of questions and filling a lot of holes for needs that other people in the ecosystem have in terms of their go-to-market and how they solve their customers’ needs. So we're seeing a lot of synergies out there. Jay do you want to answer that question? 
Jay Heglar: Yeah. Hey Derrick and thanks for the question. So the Snowflake partnership is interesting, because it really celebrated what Domo does well, which is connect to the world's data, but then also to compliment all these technologies and Snowflake is really hot out there right now. They provide some services that are interesting to start ups, medium-size business and enterprise alike. But what they don't do is put that data in the hands of all end-users and satisfy the line of business needs. And so where that’s a great partnership for us, not just to help with the logo acquisition, to help expand our current customer relationships we have, but also for Snowflake where we helped to bring them unique value by introducing a new audience to them, as well as making it easier to on-ramp data to their cloud warehouse. 
Derrick Wood: Great! Thanks, Congrats guys. 
Josh James: Thank you. 
Bruce Felt: Thank you. 
Operator: Our last question comes from the line of Jennifer Lowe from UBS. Your line is open.
Jennifer Lowe : Great, thank you. Maybe following on Sanjit’s question a little bit, you know if I look at how we've moved through the year, we started off really strong. You are talking about adding more sales heads very rapidly, 30% growth in the enterprise sales force. Q2 was a little bit as we talked about the deferred deals, sort of a focus on reinvesting back into the corporate side, and now we see this very strong result in Q3.  And so I'm just trying to put a little context around where we are relative to what you thought you might do when you started out the year and you were feeling really good and adding all the – and starting to add heads back into the sales organization. Do you look at Q3 sort of getting back to trend and where you think you should be or is this more than that in terms of what you're actually seeing in the marketplace where, not only are you back to trend, but potentially that trend line is moving higher. 
Josh James: Yeah, I would say we are back to trend relative to performance and that definitely helps embolden us. We've seen – we've made the investments with into the reps. It's not like we've made investments and then pulled investments and then made investments. We've made the investments and it takes reps a period of time to ramp up and become familiar in builder patch [ph] and those investments are still standing. And so we're up over the course of the last 12 months, we are up about 20% in number of reps that are there and will continue to increase that in Q4.  So we feel like we’ve built a lot of capacity into the system. We weren't as efficient as we wanted to be a year-ago either, and continue to see opportunity to get more capacity out of just what's there, just given the performance and the efficiencies that we're seeing. We are seeing efficiencies in marketing improve, our marketing spend, we've seen efficiencies over the last 12 months in the sales expense that we've had relative to performance. So we're encouraged by a lot of things right now, and definitely this last quarter helps reinforce that.  Yes, there are in fact big enterprise deals out there and there is an opportunity for us to find cross-sells and upsells within our current customer base, and I think there's going to be a lot more really big deals and hopefully we're in a place 12 months from now when we're talking about how many multimillion-dollar customers that we have that are paying us, because I think that's what's coming. And we're going to able to say, look at our enterprise-based, look how many logos we have. Now we extrapolate that out to the 10 that are paying us several million bucks a year and all of these should be paying us that amount. I think that's where we're headed, and that's what we're going to get to, and the POCs the helping, the sales plays that John Miller has been leading up and helping with the leadership that we have for me and I think we're going to be in a good spot. 
Jennifer Lowe : Okay, and just one more from me on that front. So I thought it was interesting, just sort of the discussion around last quarter there was a significant number of deals that slipped. Some of them are still kind of working their way through the process, yet this quarter it seemed like that process is much more tightened up where you got things that you sourced in the quarter and closed in the quarter. And I know we talked quite a bit about either sort of the changes being made in the Playbooks and exercising those, but – and then that sort of seems like it's a little bit of a different type of opportunity that that applies to than the big elephant [ph].  But I'm just curious, as your salespeople, particularly in enterprise side go out in the field and you look at what was sourced and closed in Q3 versus the tenure of the deals that might have slipped out a bit. Are they going after a different type of deal or defining the mandate more tightly or managing those processes a bit more tightly, because it just doesn't seem like a pretty strong contract. So I'm just curious how the deals that are sourced and closed in Q3 might have looked versus the ones in Q2, which proved a little more difficult to predict. 
Josh James: You know I think we're getting better at understanding how to bring those big deals through the pipe and what are all the T’s that need to be crossed and I’s and need to be dotted and the different parts of the organization that need to buy off on things, and so I think that cadence is improving.  The more deals that we have there, the more we can feel comfortable that a certain number of those are going to come through and plan on those in the numbers. So I think we're seeing improvements, we're definitely seeing improvements all around and – but also like we said in the transcript it's – they're lumpy deals and we're not big enough to not have lumpiness and to be able to predict exactly when all those things are going to close yet. So we still might see some lumpiness, but we definitely feel good about our prospects, feel really good about the sales reps that we have there, feel really good about the way that we're interacting with those customers.  The sales plays, they don't just help us with new deals, they definitely help us go back into our customer base where we may have $100,000 or $200,000 relationship and you go in there with the sales play about finance for instance and we show what all of our customers are using us for on the finance side or on the marketing side and you go and you present that to that finance team and you end up with a $0.5 million contract that's meeting the needs of everyone in the finance organization.  So that's definitely where we're also getting some of these big upsells, is by using those sales plays back into our current customer base. 
Jennifer Lowe : Okay, great. Thank you. 
Josh James: Thanks Jennifer. 
Operator: We don't have any questions on the line. Presenters, you may continue.
Peter Lowry: Yeah, with that, that’s the end of the call. We want to thank everybody for being on the call and we look forward to the dialogue with you from this point on. So thank you very much.
Operator: Ladies and gentlemen, this concludes today's conference. Thank you for joining. Have a wonderful day. You may all disconnect.